Operator: Good day, ladies and gentlemen, and welcome to the Palatin’s Third Quarter Fiscal Year 2021 Operating Results Conference Call. As a reminder, this call is being recorded. Before we beginning our remarks, I would like to remind you all that the statements made by Palatin are not historical facts and may be forward-looking statements. These statements are based on assumptions that may or may not prove to be accurate and the actual results may differ materially from those anticipated due to the variety of risks and uncertainties discussed in the company's most recent filings with the Securities and Exchange Commission. Please consider such risks and uncertainties carefully in evaluating these forward-looking statements and Palatin's prospects. Now I'd like to turn today's call over to our host, Dr. Carl Spana, President and Chief Executive Officer of Palatin. Please go ahead, sir.
Carl Spana: Thank you. Good morning, and welcome to the Palatin Technologies' third quarter fiscal year 2021 call. I'm Dr. Carl Spana, CEO and President of Palatin. With me on the call today is Steve Wills, Palatin's Executive Vice President, Chief Financial Officer and Chief Operating Officer. On today's call, we will provide financial and operating updates. I will now turn the call over to Steve, and he'll provide financial updates as well as an update on exciting and significant progress we are making with Vyleesi. Steve?
Steve Wills: Thank you, Carl. And good morning, everyone. Regarding our third quarter 2021 financial results, which is Palatin’s quarter ended March 31, 2021, total net revenue, consisting of net product revenue of Vyleesi, was $88,741. There was no revenue reported for the third quarter of 2020. Vyleesi gross sales amounted to $1,780,020, with net product revenue again of $88,741, net of allowances and accruals, compared to gross sales for the prior quarter ended December 31, 2020 of $943,950, with net product revenue of negative $163,971, net of allowances and accruals. Total operating expenses were $6.6 million, compared to $5.7 million for the same period in 2020. The increase was mainly due to commercial expenses related to Vyleesi. Palatin's net loss was $5.7 million, or $0.02 per share, compared to a net loss of $5.4 million, or $0.02 per share, for the comparable quarter of 2020. As of March 31, 2021, Palatin had $68.6 million in cash and cash equivalents and $1.9 million in accounts receivable, compared to $82.9 million in cash and cash equivalents and no accounts receivable as of June 30, 2020. Palatin has no outstanding debt. Regarding Vyleesi, our FDA approved product for hypoactive sexual desire disorder, or HSDD, for the quarter ended March 31, 2020 over the prior quarter ended December 31, 2020, gross product sales increased 89%; net revenue increased 154% and prescriptions increased 24%, very significant numbers for the quarter.  Geo-targeted marketing efforts are expected to drive healthcare provider and consumer engagement. The current digital campaign applications reach thousands of healthcare providers and millions of premenopausal women monthly and has resulted in increased website and telemedicine traffic and conversions.  We continue to focus on expanding access and reimbursement coverage. We estimate Vyleesi has achieved approximately 75% of commercially insured lives and approximately 50% of commercial formulary coverage, including two of the three major pharmacy benefit managers and numerous regional plans. Prescription increases and expanding access and reimbursement coverage have resulted in more favorable gross-to-net adjustments and positive quarterly net product revenue for the first time. I will now turn the call back over to Carl. Carl?
Carl Spana: Thank you, Steve. We continue to conduct our operations under the conditions imposed by the ongoing COVID-19 pandemic. Today we believe that the adjustments we have made have allowed us to continue to advance our preclinical, clinical and commercial programs, all maintaining the safety of our employees, patients, healthcare providers, and partners. As you heard during Steve's presentation, we have made substantial progress in collecting and enhancing the Vyleesi commercial infrastructure and putting in place an excellent and motivated commercial team. The changes that we have put in place have improved the patient experience, patient access, relationship with prescribers and the profitability of Vyleesi. Results from the quarter demonstrate their positive sides on prescriptions and revenue. We are now in a strong position to demonstrate the potential value of Vyleesi in a cost-effective manner and obtain our ultimate objective, the relicensing of Vyleesi to a committed partner, ensuring the continued availability of Vyleesi as a treatment option for premenopausal women with HSDD or hypoactive sexual desire disorder, and a return on our investment. During the quarter, we updated our website and logo to reflect our transition to a focus on the development of therapeutics that target the ability of the melanocortin system to resolve or turn down inflammation and reduce fibrosis. Using our extensive technology and experience in the biology, chemistry, and development of therapeutics that interact with the body's melanocortin system, we are building a portfolio of therapeutics that we believe will have significant potential in treating diseases that affect the eye, gastrointestinal system and kidney. Melanocortin system plays a critical role in protecting the eye from harmful inflammation. And we are developing multiple products for ocular diseases. Properly delivered PL9643 is our melanocortin agonist for treating ocular diseases that affect the tissues that comprise the anterior segment of the eye. The first indication for PL9643 is dry eye disease, and we have people who reported positive data on a Phase 2 dry eye disease clinical study. We are currently pleased to have been selected to present the detailed data at a podium session at the Association for Research in Vision and Ophthalmology 2021 Annual Meeting in May. The presentation was well received by the ophthalmology community. We are advancing topical PL9643 into a Phase 3 study in moderate-to-severe dry eye disease patients, which is scheduled to begin in the second half of calendar 2021. To support this program, we have scheduled an end of Phase 2 meeting with the FDA to discuss the details of the Phase 3 program. The emerging profile of PL9643 with its rapid therapeutic onset, excellent ocular tolerability profile is a potentially distinct advantage in dry eye therapy. If the results are confirmed in the upcoming Phase 3 clinical study, we believe that PL9643 has a potential for substantial penetration into the multi-billion dollar dry eye disease markets. In the past quarter, we also continued to advance our preclinical programs for retinal and corneal diseases. Our data on various preclinical models of retinal disease is also presented at ARVO as a poster. If you are interested in learning more about our ocular programs, you can visit our new website where you will find both of the oral presentations. In addition, we are hosting a Key Opinion Leader presentation on May 21, which is focused on our ocular programs, PL9643 clinical data, design of the PL9643 Phase 3 clinical study and the role of the melanocortin system in ocular diseases. Moving on to our PL8177 oral formulation for ulcerative colitis, we are conducting activities required to initiate a Phase 2 proof-of-concept study which is targeted to start patient enrollment in the second half of 2021, with potential data readout in 2022. This will be our first clinical study designed to evaluate the potential of a selective melanocortin 1 receptor agonist as a treatment for ulcerative colitis. This study will evaluate the safety and potential efficacy of oral PL8177 and the positive results of the study will support our efforts to license oral PL8177. Finally, based on our research work on natriuretic peptide system, our drug candidate PL-3994, which is a selective natriuretic peptide receptor A agonist, is being evaluated in a Phase 2a clinical study in heart disease patients with preserved ejection fraction. The clinical study is in cooperation with two major academic medical centers and is supported by a grant for the American Heart Association. The study continues to enroll patients and we anticipate preliminary data in early 2022. You can find additional information on our programs on our new website, www.palatin.com. During the past quarter, we continued to make significant progress across all our programs and our healthy cash position will allow us to emerge from the pandemic in a strong position. Under Steve Wills' direction, our Vyleesi commercial activities have made significant progress. These changes are beginning to have a positive impact on increasing Vyleesi prescriptions and revenue. For PL9643, a topical treatment for dry eye disease, we are conducting activities required to begin a Phase 3 study, second half of this calendar year. And this includes preparing for an end of Phase 2 meeting with the FDA. We had two presentations at the Association for Research in Vision and Ophthalmology 2021 Annual Meeting, one covering the details of the PL9643 Phase 2 clinical trial results in dry eye disease and the preclinical data concerning our melanocortin agonist for retinal diseases. We continue to build out a melanocortin-based ocular therapeutics product portfolio and anticipate initiating a clinical development program for a second ocular indication starting in the second half of 2021. We remain on track to start a Phase 2 proof-of-concept clinical study with an oral formulation of PL8177 in ulcerative colitis patients, which is targeted to start in the second half of calendar 2021. Finally, we are hosting a Key Opinion Leader webinar on May 21, 2021 on melanocortin agonists for treating ocular indications, with a primary focus on PL9643 and our data from our recently completed Phase 2 clinical trial for dry eye disease and introducing our growing portfolio of melanocortin agonists to treat the harmful effects of inflammation in the eye. As we look forward to the rest of 2021, we have a strong pipeline of novel clinical candidates and we remain focused on their advancements. In closing, Steve and I would like to thank the Palatin team, and all of our partners for their continued dedication to the advancement of our programs. We'll now open the call to questions.
Operator: Thank you. [Operator Instructions] We'll take our first question from John Newman with Canaccord. Please go ahead.
John Newman: Hi guys. Thanks for taking my question. Just have a question on Vyleesi, seems like you guys have been making some changes here that have certainly been moving things in the right direction. Just curious as to what we should expect for the rest of the year just in terms of continued efforts that you're making. And I'm also curious if you believe that sort of coming out of COVID, you might have a positive tailwind there as well. I'm not sure if this is a product where face-to-face interaction with the physician is required, but just wanted to ask about that. Thanks.
Steve Wills: All right. Thanks John. This is Steve. Well, I can't give you my Nostradamus prediction for the rest of the year, but we help the 331 a quarter will be duplicated as we go forward. Regarding the pandemic, I mean, I think face-to-face, I think is always better. Palatin just like most other companies doing the best we can with the limited face-to-face. We are now experiencing some face-to-face contact, but the vast majority continues to be the Zoom or the video streaming. So we would anticipate that as the market opens up more because of the pandemic and a little bit better for people and the access on the face-to-face being greater, that we'll also see some greater uptake in our prescription care.
John Newman: And I think you have – you've seen more favorable gross to net adjustment. Is that something that you would expect – would continue to improve as we go forward?
Steve Wills: Absolutely. That's – I mean, that was one of the A items that Carl and I targeted very early on, notwithstanding increasing prescriptions, Palatin generates the most significant amount of net revenue on a per script basis based on the higher insurance coverage. So we've worked hard to increase our covered lives, our formulary coverage, and what that results in is we're going to have a more favorable gross to net. Our strategy right now is to continue the copay program. So patients, the first dose is zero dollars out of pocket. And any subsequent dose is no more than $99 out of pocket. Now that doesn't mean we can't collect the insurance. So we've done, as I mentioned, I think a pretty good job of increasing the coverage in that area. But we've also improved on the processes. We've switched out one of our specialty pharmacies. And I feel we're working pretty close with the pharmacies to make sure that the processes as streamlined and as efficient as possible for both the health care provider and also for the patient.
John Newman: Okay, great. Also wondered if you could give us an update on partnership activities here? I know that you guys have been working really hard on getting the prescriptions to a good point. But I'm also curious if you can talk to us a bit about the potential for a partner here for Vyleesi? Thanks.
Steve Wills: Thanks, John. The – no question, that's Palatin’s strategy. That's Carl and Steve strategy, which is to relicense the product in the U.S. and also to expand collaborations throughout the other regions. Those discussions/negotiations are advancing and they're ongoing. I feel very comfortable that the first quarter results are going to assess with those discussions because we're showing very significant progress. We're showing that the brand has value and our investment is limited. So our strategy is to find a committed partner that's in the female health care space that has the type of infrastructure that you can either put behind this product as a standalone product, or you want to add it on to other existing products that you have. So we think the first quarter results are very important regarding those negotiations, but they are advancing.
John Newman: Okay, great. Thank you.
Operator: We will take our next question from Joe Pantginis with H.C. Wainwright. Please go ahead.
Joe Pantginis: Hey, guys. Good morning. Thanks for taking the question. I wanted to focus on the evolution of PL-9643, because now you have the opportunity for a second potential commercial product. And I know we'll be getting more details at the end of the week on the clinical program, but I first wanted to see if you could talk about a little more about the end points of the plan Phase 3 study versus the Phase 2 trial that read out in December, 2020 and what kind of adjustments that you made? But what I want to do here is really tie it to the business development or potential business development around this asset, because as you're now going to end to Phase 2 meetings with the FDA and looking to start a Phase 3 by the end of the year, a potential partner might want to have a say in the design of the program or conduct of the program, so just wanted to combine those two? Thanks.
Carl Spana: Thanks, Joe. This is Carl speaking. A couple of things. So just as a – for those that may be listening that don't know the dry eye disease environment – variable regulatory environment. One strategy for showing efficacy is to just think about the signs and symptoms. So there are symptoms of dry eye disease such as scratchy eyes, dry eyes, painful burning. Those are all symptoms and the others are signs, which are more indicative of the underlying inflammation or damage that may be occurring to the tissues in the eye and the surface of the cornea and the conjunctiva – what have you. And so the strategy is if you show an improvement in a sign and a symptom that one is the basis for approval of the product. There's no – so with that being said, we will be looking at multiple signs and symptoms in the Phase 3 program. And I don't want to go too much into the details because I think we have some great people on the call coming up on Friday that we will really walk you through the data, how that was translated into the design of the Phase 3 trial, the design that we're using, which is a little bit innovative and how that's going to play out. But suffice it to say, we'll be looking at signs and symptoms. And again it was some that were pulled from the Phase 2 data. So the ones that coming out of the Phase 2 data, where we have the strongest results in a moderate to severe patient population, which is the one that we're looking at – we'll be the ones, there'll be the basis of both the primary and key secondary endpoint. So these will be things such as improving an ocular pain, conjunctival staining, inferior corneal fluorescein staining. These are the types of things that we showed very strong results on in the Phase 2 study. And there'll be the basis of the Phase 3, but how they're going to be structured, analyzed. I think I likely to little suspense for the end of the week, because I think we have some really great guys that can walk you through. And I think we've designed a very, very innovative program that reduces our risk as we go forward into Phase 3, and we're quite excited about it. So I'll leave it there on that subject. With regards to licensing and what have you, Joe, we learned a lot it through by Vyleesi and – although we're not necessarily in a great hurry to license this asset in the ocular assets as we come through. I mean, we have the capital to go through into the clinical study, the Phase 3 clinical study. So although we're getting interest and we're starting to obviously engage with potential partners. I think that the things that we're doing from the feedback we're getting are the types of things that they're comfortable with. So I don't think there'll be much of a change in the design of the trial, if we bring the partnership in and we want to make sure that it gets a broad viewing. We don't want to just talk to one partner. Of course, we'll talk to one partner if they offer us a lot of money, that's a different story, but we do want to make sure that we've got a good partnership. And then we get true value for what we think is a really an asset that really, it continues to show positive results here. We'll be really impactful in the treatment, dry eye disease, as well as other diseases in the front of the eye. I mean, I don't think that this product is limited to one indication.
Joe Pantginis: No, absolutely. That's fair. Thanks a lot and looking forward to Friday.
Carl Spana: Okay. Yes, I think we've got a great set of people come to talk with you and we're excited by it.
Operator: We'll take our next question from Michael Higgins with Ladenburg Thalmann. Please go ahead.
Michael Higgins: Thanks, guys. It sounds like you're sending a lot of the comments on PL9643 for the KOL events. So I'll hold mine off. So then it seems you want to discuss it in further detail then, so appreciate it. Thanks though.
Carl Spana: Okay.
Operator: Thank you. Ladies and gentlemen, this will concludes today's question-and-answer session. At this time, I'd like to turn the conference back to Dr. Spana and Michael Higgins for any additional or closing remarks.
Carl Spana: I think, you meant Steve Wills, its okay. Mike, well, I think you have to make any further remarks. Well, thank you guys for calling in insightful questions. We continue to make a lot of progress here, and we're very excited about where we're going in a future direction, not just in the ocular space, but in others. And although the near-term is ocular but don't forget about the assets in ulcerative colitis. And there are some other things that we'll be looking at as well. For those that are on the call now, or listen to it, I think you can find an invitation to the webinar on Friday on the website, please sign up. We've got really some of the best in the world that we're working with, and they'll be presenting the data, trial design and where we're going and really the role in melanocortin system in ocular inflammation. So quite a lot to learn, and I think quite an exciting time for us. So thank you, have to be safe, and we look forward to Friday's call and then also continue to update you on our progress. Thanks.
Operator: Ladies and gentlemen, this concludes today's conference. We appreciate your participation. You may now disconnect.